Operator: Thank you for standing by, ladies and gentlemen, and welcome to the OTE Conference Call on the Third Quarter 2013 Financial Results under IFRS. We have with us Mr. Michael Tsamaz, Chairman and CEO; Mr. Zacharias Piperidis, OTE Group's Chief Operating Officer; Mr. Babis Mazarakis, OTE Group Chief Financial Officer; and Mr. Dimitris Tzelepis, Head of Investor Relations. At this time, all participants are in a listen-only mode. There’ll be a presentation followed by a question-and-answer session. (Operator Instructions) I must advise you the conference is being recorded today, Thursday, November the 7, 2013. And we now pass the floor to Mr. Dimitris Tzelepis. Please go ahead, sir.
Dimitris Tzelepis: Thank you. Good afternoon, ladies and gentlemen, and good morning to the U.S. participants. I would like to welcome you to the OTE third quarter of 2013 results conference call. During the conference, we will review the quarterly performance and we’ll also leave enough time to discuss any issues you may wish to cover. I remind you that any forward-looking statements we might make during this presentation or our answers to your questions are subject to the usual risks and uncertainties inherent in such situations. Now let me now hand over the call to our CEO, Mr. Michael Tsamaz.
Michael Tsamaz: Good morning or good afternoon to all of you. Thank you, Dimitris, and thank you all for joining us this call. We will discuss our activities during the third quarter. While taking into account our economic and competitive environment, we had another solid quarter. Our consolidated revenues were down just by 5.1%, the smallest group revenue drop seen in the first quarter of 2012. As you all know, shortly after our update, mobile connection rate cuts were implemented and started having a severe impact on our top line. The revenue drop in our Greek fixed line business this quarter was roughly in line with a moderate decline we experienced in the second quarter. And over, other operations posted improving trends particularly in mobile outside of Greece. The Group's pro forma EBITDA dropped by just 4.7% less than revenues, resulting in a small improvement in margin. This reflects a €19 million or 60% improvement in Greek fixed line EBITDA due to the successful impact of our cost reduction programs building upon the first quarter turnaround we recorded in Q2. Greek fixed line operations are now posted two consecutive quarters of year-on-year EBITDA increase, and for the first time since 2007, the nine month EBITDA is up in absolute terms. The improvement in fixed line was more than offset by lower EBITDA in our other operations mainly due to termination rate cuts in mobile. The Group's operating cash flow was down in the quarter for a mix of timing reasons and one-off items. However, our free cash flow performance in the nine months confirms that our mobile cash flow generation capacity is as good as ever. So all in all, we had another resilient operating performance this quarter. There are a few points not directly related to our operating performance that I would like to highlight here. First of all, disposals and financing transactions conducted since the beginning of the year as well as our strong cash flow generation kind of making us to retain a robust financial position. As compared to the end of 2012 we have reduced our net debt by more than €1.2 billion or more than 42%, our current net debt of less than €1.7 billion represents 1.2 times trailing 12 months EBITDA the healthiest ratio we have sold since 2007 and one of the lowest among the European countries. Second our capital expenditures are up significantly in the quarter and nine months. The main driver of the increase is due to our continued investments and our infrastructure on such programs, such as higher bandwidth in fixed line or 4G data mobile. We will continue to invest wisely and selectively to make our network more efficient and to use customer services and experience growth on fixed and mobile businesses. In addition we’re back on way indicates that this is once again moving out in ranking of countries in terms of ease of doing business and we tend to do our bit by providing a total communications interest that not just of businesses but also to individuals. Of course in order for us to continue to invest and leave the industry when the economies start turnaround, we need to have a better environment that is predictable fair and transparent, we are hopefully moving towards that direction. Finally as we entered the final stages of the year we have not changed our outlook at macroeconomic level circumstances are expected to remain challenging till next year even if we begin to see some signs of turnaround and a resumption of GDP growth. At the internal level on the one hand we will be gradually be entering quarters where comparisons unless are messed and separable as we pass the one year investors or bureaucrats well on the other hand we are likely to continue facing that competition even in some cases as a oriental competition. We believe that [indiscernible] will enable to defend our positions and we will continue to work on our cost base supporting our stability. With the reason being I am going to turn the call over to Babis who’ll cover the financials of the quarter. Thank you.
Babis Mazarakis: Thank you, Michael and welcome to all of you. Let me remind you that the numbers we presented excludes the Bulgarian operations that we posted and therefore will be temporarily. The 2012 numbers do include [indiscernible] but its contribution was well enough but this does not disturb the comparison. Actually the supporting work that we started in this quarter we have made some minor changes in the way we present our income statement to better align our important results trading practices and to further improve the revenue information we disclosed in the market. So the group revenues were down 5.1% the first quarter of the year this explains and identifies the notable improvements we have recorded quarter-over-quarter since the beginning of the year, the drop in group revenues this past quarter was once again driven by the mandatory mobile termination rate cuts excluding these cuts and last year’s revenue from the rest of operations, total group revenues will have declined by less than 2% in the quarter, we’ll take a hit from the effect of this mobile termination rate cuts in the fourth quarter but after January, the comparisons should be less unflattering. Let’s now turn to Greek fixed line, where OTE service revenues dropped by 8.4%, a rate of decline comparable to the 8.1% we have posted in Q2, [indiscernible] sharp improvement as compared to earlier quarters. Both voice and both in the revenues experienced a much major drops than in prior quarters while Pay TV revenues again more than doubled. In the third quarter, we lost about 59,000 lines, a level that is consistent with the lines connections we experienced in the first four quarters. However, this quarter, our current carriers added only 10,000 lines resulting in fixed growth for the Greek fixed line market as a whole. Part of OTE’s net line losses was in view towards connection of overdue accounts that program we completed during the quarter. Net addition in the Greek broadband market in the quarter totaled 33,000. This represents roughly 50% decline from the average level of past four quarters despite particularly aggressive triple play offer by our competitors. In this context, we added 12,000 net subscribers or over 75% of the market total for the quarter. The sale of [indiscernible] this year is consistent with what we have secured in quarter two. And as in quarter two, our net addition numbers were impacted in part by our efforts to disconnect overdue accounts and for another part, by the fact of several important factors that is submitted to regulators have still not been approved. As a result of our basic competitive offers, our premiums in markets has grown much above 40% today [indiscernible] were continuously improving service quality, notably by migrating customers to higher speeds. During quarter three, we added nearly 10,000 subscribers to our VDSL service reaching over 35,000 users at the end of September and over 37,000 of discounts. With attractive pricing, we are forecasting continued growth in our VDSL data. We had the particularly outstanding quarter essentials to the recent subscriber services, adding 43,000 new subscribers to exceed 218,000 by September end. This of course direct outcome of the [indiscernible] content we are making available to our subscribers. The investment is paying growth and we are expecting to achieve breakeven as soon as next year. Television service also play an important role in our effort to heighten the well perception of OTE in the Greek market. We are working hard and incentivizing those accordingly to protect ARPU. Better customer service and reaches to higher value products like TV and VDSL enable us to do research activity and we are stating to see in the numbers that benefits of this certainty. OTE is another player in the market that is not competing on price alone. Moving on to RomTelecom, in this quarter, RomTelecom was typically so far as revenues became steady down less than 1% as some improvement compared to the first two quarters of the year, but the EBITDA margins were down. In effect, the quarter’s resilience is entirely due to strong growth of lower margin ICT solutions and whole business. By contrast, revenues from retail fixed services were down about 7% with trends in voice and TV line [indiscernible] beginning of the year, but lower growth in both of them. The sequential improvement in the wholesales business reflect on more stable base of comparison following the termination rate cuts in more than three years. And on the other hand, significant growth in international transit. In ICT, Rome Telecom won significant contracts, some of which improve continued provision of services following the development installation stages. With this process we expect upcoming revenue streams and upgrading our market position for the future. In the quarter Rome Telecom’s pro forma EBITDA margin was 23.4%. In addition to the higher contribution from lower margin activities EBITDA was impacted by growth in certain operating expenses, notably rents and commissions. Total revenue from our mobile franchise declined by 8.5% in the quarter, continued the trend towards more model declines in service revenues supplier quarters. This trend is likely to continue, as we end the quarters with fewer impacts on the mobile termination rate cuts. We also recorded an increase in product sales in the quarter. In Greece, total net deposit more moderate declines in the quarter as to the revenues were down 11%, and service revenues drop by less than 15%. We estimate that the mobile termination rate cuts are responsible for approximately half of the €50 million declines service revenues we experienced in the quarter. The decline in ARPU now somewhat in the quarter compared to the first half of the year. We are continuing investing in the expansion of our 4G LTE Network to cover all major urban areas and tourism centers, as well as in the improvement of the quality of our voice network. We expect to reap the profits of this investment as the weight of smartphones grows from a relatively low base at present. Our initiatives to broaden the visibility of the Cosmotel brand are doing well. Cosmotel books, the online books that we launched in June is off to a good start. After five consecutive quarters of contraction, service revenues of Cosmotel Romania tend positive once again at even growth of 2.9% in the quarter. ARPU was up in the quarter, boosted by prepaid. We continue to focus on strengthening our services and direction of the business customer base; leverage issues with Rome Telecom were never that visible. Finally, in Albania, both sales and total revenues were up 4% in the quarter, for the first time reversing the long series of negative numbers. Data revenues a very strong growth, up nearly 14% this quarter. Cosmotel Albania benefits from the relative stabilization of the Albanian economic environment, as well as from an improving competitive situation. Other group revenues were just down 1% in the third quarter to €190 million, despite this consolidation of loss since the end of March 2015. Let’s now take a look at the rest of our P&L. OTE Group's pro forma EBITDA for the third quarter was €379 million a drop of less than €19 million or 4.7% from same quarter last year. We estimate that the mobile termination rate cuts reduced EBITDA by about €16 million in our mobile activities, and by more than €11 million of the facilitate level. Pro forma EBITDA in Greek fixed-line loss by more than €19 million, despite the drop in revenues of nearly €36 million. This is the second consecutive increase in the Greek fixed-line EBITDA in absolute terms, and led to a strong 350 basis points in pro forma EBITDA margin to 35.7%. Total operating expenses excluding deprecation and voluntary retirement in Greek fixed line business were down €49 million in the quarter including €21 million drop in personnel costs in spite of our declines in virtually all important expense items. A reminder of the continuing cost rationalization, operating expenses have been reduced by positive capitalization of long-term exclusive [indiscernible] in order to better reflect the terms of this contract. At group level, personnel costs were down by more than €20 million, despite having the connection cost due to increased traffic in the quarter, other operations was down by more than €12 million, apart from higher device cost due to more sales of handsets and other products, all other expense category were down. As a result, the group’s pro forma EBITDA margin inched higher by 10 basis points to 36.4% in the quarter. Looking at operating profitability by activities, there are some improvement in the Greek fixed-line more than offset around telecom’s performance and the more modest drop in EBITDA margin in the mobile business. Interest expenses totaled €67 million in the quarter, 2% higher than the same quarter last year. We reported capital gains of €154 million in the quarter on the sale of our businesses as of July 31. The gain is inline with what we have announced during our last call. Our group tax expense in the quarter continues to reflect our tax efficiency process. We reiterate that over longer periods, we restrict our effective tax rate to be in the mid to high 20% range. Less income attributable total was €253 million as compared to €101 million in the third quarter of last year, positively affected by the €154 million before tax capital tax on the disposal of Bulgarian operations along with lower tax expense I just mentioned. The Group’s underlying was reduced by really €800 million in the third quarter to less than €1.7 billion. Our cash position at the end of the quarter was EBITDA €1.7 billion. As Mike alluded, our net-to-debt to trading EBITDA ratio is now at an industry leading 1.2 times. Net operating cash flow excluding payments for voluntary programs totaled €214 million in the quarter, down about a €100 million from the level generated in the third quarter of 2012. Part of EBITDA reflects the €33 million tax prepayment related to Globul disposal and the balance sheet due to difference in timing of working capital requirements. CapEx excluding spectrum payment was €109 million, an increase of nearly 20% from third quarter of 2012, reflecting our continued investment in the improvement of infrastructure primarily in Greek mobile. And with that Michael, Zach and myself are now ready to answer any question you may have. Operator?
Operator: Thank you. (Operator Instructions) Your first question from Eurobank comes from Stam Draziotis. Please ask your question, sir.
Stam Draziotis – Eurobank: Yes, hi there. And thanks for taking the questions. My first one relates to the domestic mobile market. You have been commenting lately about competition that has been intensifying in the last three quarters. I'm basically looking for some – I guess more color regarding, more recent trends and whether that we’ll see soon some sort of rationalization, especially given that the ARPU levels. It seems to have fallen to less than 13 years. So I am just trying to access here, how much further we should expect ARPU to fall?
Unidentified Company Representative: As we have discussed in previous calls, we’ve seen compacted deterioration this. And we’re estimating the level of minus 15% or minus 16% for the whole market. With regards to the expectation, the only thing that we can make sure is that the impact of the MTR’s will soften the forth coming quarters. We will have the impact in Q4 and then we’ll see the correction. Intense of the ARPU’s this is the combination of the microenvironment and competitive tactics. We cannot comment on the evolution of the tactics. Since, this cannot be predicted. However, we’re not expecting let’s say something major at least till the end of the year. But we cannot let’s say foresee specific movements or tactics for the near future.
Stam Draziotis – Eurobank: Well fair enough. And second question relates to the new voluntary exit scheme that was recently added on the press as a target for end of the year potentially beginning of next year. I mean could you elaborate a bit on this – and whether where we are basically in terms of implementation and maybe if you want to give a bit more color?
Unidentified Company Representative: Yes, we have a plant a new voluntary exit scheme to be implemented before the end of the year. We’re now in the process of setting up some bureaucratic let’s say procedures and establishing exactly what the procedures will be and what the rules will be. And we cannot comment anything more at this point, but is mostly likely that this will be announced next week once we finalize the 70-days but we need to finalize. The expectations is that approximately 1000 where we never had a people will be except those.
Stam Draziotis – Eurobank: Okay, okay. Thank you. And finally, if you could update us a bit on your debt profile initiatives I understand you’re in a quite good position in terms of liquidity especially of cost generation. It seems robust but can you decided on your course of action. Regarding your 2014 maturities mainly referring to your RCS I guess?
Unidentified Company Representative: I should say the debt profile in terms of maturity profile and in terms of let’s say level is manageable. (Inaudible) open to how do we secondary profile or what will be the actions in the determined years. We do have any competitors planned to announced or to – now but we rest assured that we’re traveling all possible options. And we will act accordingly on a timely basis. That’s all I can say for the time being.
Stam Draziotis – Eurobank: Thank you. Thanks very much. Thank you.
Operator: Thank you, very much. Now from Morgan Stanley, you have a question from Luis Prota. Please ask your question.
Luis Prota – Morgan Stanley: Yes, good afternoon. Thank you. Couple of questions please. Firs, it's obviously not asking for official guidance, which I know you will not give us, but I would be very keen to get your views on whether – on the back of the things that you were mentioning, no termination rates impact, potentially the economy improving. I know what competition does is probably uncertain, but do you see a scenario as plausible in which 2014 could even be flattish, in terms of revenues and EBITDA? Or that could be a bit too optimistic? And the second question I have is on Romtelecom potential privatization, whether you can give us an update on whether that process is going ahead or not and whether you think that is likely that you would be taking place. Thank you.
Michael Tsamaz: Regarding Romtelecom privatization, we are in discussions with the Romanian government regarding the future of Romtelecom but we don’t have anything any final position yet to be able to close. It’s too early that to say something on this, but I hope that at the end of this year or beginning of next year we’ll have a final position of the government – Romanian government this is what they wish to do. Regarding next year – what is your market – how its growth will be? As you very correctly pointed out, I don’t give exact guidance on the numbers, but the recent quarters – the performance in recent quarters have put us in a trajector , certainly the top line losses – the top line declines having contained for the reasons we mentioned. We see that that the initial rates will not have this base effect beginning of 1 of 2014. However let’s not underestimate the micro situation in the press – in the disposable income of customers. So we foresee that 2014 will be another challenging year as we have commented in our press release and we are vigilant to take opportunities to take advantage of any opportunities reaching the market. So we cannot say exact numbers the only thing we can say that we are – I think we are very well positioned in taking advantage of any opportunity that realize.
Luis Prota – Morgan Stanley: Okay thank you.
Operator: Thank you very much. (Operator Instructions) Now from Citi, we have a question from Dimitri Kallianiotis. Please ask your question, sir.
Dimitri Y. Kallianiotis – Citigroup Global Markets Ltd.: How many stuffs do you have on IPTV and if you expect the proportion of the subscribers on IPTV to significantly increase if you are still going push pay TV overseas through the satellite. Andy my second question is regarding the VDSL, if you could share a bit more information on your plans in terms of VDSL rollout. How many households do you target in the coming years and what’s the cost do you think of household and of in terms of regulatory environment is good now. There is enough visibility to start pushing – to start increase investment in VDSL. Thank you.
Unidentified Company Representative: With regards to the TV, we are quite pleased with developments on that project. In terms of content vessel we have proved so far, we are always ready to acquire a content that gives us to create value for money propositions to our customers. So it sounds that is definitely one of these kind of products, however, the tender is estimated to run at the end of 2014, where at this point in time we will evaluate our position. With regard to the split between IPTV and satellite, currently we have roughly 50,000 customers under IPTV and the rest is on satellite. However, we estimate that due to the hybrid proposition of what we’re going to introduce soon in the market this will move customers more to the hybrid and let’s say to the pure satellite option. As far as VDSL is concerned, what we can say is that we are – we have secured the investments for the VDSL development, however, this speed and the intention of the investment depends on the regulatory developments. So what we can say is that in case that regulatory environment is fair and transparent, we will be ready to push more of our investments. So far we have covered more than one million households and we are quite positive with the developments in the market.
Dimitri Y. Kallianiotis – Citigroup Global Markets Ltd.: Thanks Greg. Can I just comeback on the hybrid sort of services that you are going to offer, what exactly do you mean by hybrid for the IPTV? And regarding the regulation I mean what else do you need because I think you already got the price is that for VDSL, do you need anything else or do you think – you think you are happy with the regulation as it is for VDSL?
Unidentified Company Representative: So VDSL is not relative because what we have discussed for the IPTV hybrid solution that hybrid solution will be introduced in order to have a streaming content through satellite and they interactivities through IPTV which is the first part of your question. The second part with regard to VDSL as you know the cost model that we have from the regulator is not fixed for the whole investment, it’s been evaluated every time that we submit and offer, we submit our proposals within, and they evaluate prices based on the investments that we foresee, that we’re going to implement. So there will not be certain before this approval and the advertising levels [indiscernible].
Dimitri Y. Kallianiotis – Citigroup Global Markets Ltd.: Let me give a clarification example. Coming on this [indiscernible] we are talking about cost model that you regarded when it is introduced by the regulator. What does this cost model cost now? If for example, we increase our investments for VDSL which is to bring new infrastructure at the cabins, at the neighborhoods, because that’s where it has to go in order to optical fiber in order to give VDSL the more increase in our investments, the more penalized we will be on the pricing and the more, the higher pricing that will be requested by regulators we have. So instead of having an investment friendly model, which will foster and support additional investments on the optical fiber, the current cost model regulator penalizes as the more we investment the higher prices you get you’re obliged to have. This has to change.
Dimitri Y. Kallianiotis – Citigroup Global Markets Ltd.: Okay. Thank you. That looks fair. Thank you.
Operator: Thank you, sir. (Operator Instructions) From Canyon Partners, you now have a question from Jeffrey Lee. Your line is now open, sir. Thank you.
Jeffrey Lee – Canyon Partners : Hi, how are you? Understand you briefly issued a small share buyback. Do you have any plans in the next year to potentially continue to return cash to the shareholders, potentially through a dividend or other means?
Unidentified Company Representative: The share buyback was done for the purpose of serving our existing production plan and the way it works that we have to buy from a market, shares that will be given to the beneficiaries. Now concerning our dividend picture, of course, we still have some months to for the year, as Michael pointed out earlier, the voluntary exit scheme, we have book the structured this year, so that will more or less dominate the discussion for distributing dividends. Out of this year, so the dividend distribution, of course, always pending to the performance of the company is something that we’ll keep us busy for 2014 onwards, building the base of the performance of 2015 in order to bring us [indiscernible] EBITDA in 2015.
Jeffrey Lee – Canyon Partners : Thank you.
Operator: Thank you. And at this point, gentlemen, there are no further questions. So I should pass the floor back to you for closing remarks.
Dimitris Tzelepis: Okay. Thank you very much to everybody. Have a nice afternoon to all of you.
Operator: And with many thanks to our speakers today, that does conclude our conference. Thank you all for participating. You may now disconnect. Thank you, Mr. Tzelepis.